Operator: Welcome to the StealthGas Incorporated fourth quarter and 12 months 2008 results conference call. For your information today’s conference is being recorded. At this time all participants are in a listen only mode. I would now like to turn the conference over to your host today Mr. Harry Vafias, President and Chief Executive Officer.
Harry N. Vafias : Welcome to our conference call and webcast to discuss the results for the fourth quarter and 12 months ended December 31, 2008. I’m Harry Vafias, CEO of StealthGas and I would like to remind you please that we will be discussing forward-looking statements in today’s conference call and presentation. Regarding the Safe Harbor language, I would like to refer you to Slide One of this presentation as well as to our press release on the fourth quarter and 12 months ’08 results. We’ve made today’s [inaudible] and if you need any further info on the conference call or the presentation please contact Andrew or myself. So, let’s start from Slide number Two, we have continued with our consistent business strategy despite the uncertainties presented by the world economy today and I would like to highlight how we have continued with this implementation in 2008 and the ongoing plan in ’09. Our primary objective continues to run a highly efficient and modern fleet on secure deployment contracts with first class charters that serves a very specific niche market far removed from the other heavily suffering shipping segments. At the end of ’08 our fleet numbered 40 vessels, 28 handy-size gas carriers and two medium range new product tankers. Looking at ’09 we are contracted to take delivery of two more product carriers, one in April and one in November both of which have secure and immediate accretion to bottom line earnings employment of three years and [inaudible] respectively. Also in ’09 in April and June we will take delivery of two more brand new gas carriers bring the fleet in our core sector up to 42 vessels. Our second goal has to be maintain moderate leverage. After taking in to consideration the total fleet of 40 ships at the end of the fourth quarter ’08 our net debt to capitalization ratio stood at 40.2% which is in our view, particularly in these challenges times, coupled with our employment and charter profiles should hold the company in good stead going forward. Our third goal has been to secure and maintain a visible revenue stream with stable and predictable cash flows enabling us to continue to pursue a prudent growth strategy despite the significant uncertainties in today’s world. The number of days of fixed employment for our fleet in ’09 currently stands at 65% of available days, with 37% already covered for 2010. However, as of today all of our vessels are currently employed and overall rates in our core LPG sector continue to hold up reasonably well. In March ’08 following deliver of both MR product carriers, our average time charter equivalent rate per date for the fleet was $7,314 per day where in January of ’09 it was $7,447 per day. In the currently difficult economic climate, it illustrates the relatively steadiness of our segment despite the prevailing economic conditions. We have again included an adjusted time charter equivalent on a blended basis in our slide presentation for both the gas carriers and the MR product carriers and as if none of the vessels were on a [viable] charter. This not only gives you a more realistic figure in terms of the average time charter equivalents but we have also adjusted the rest of the operating expense line later in the presentation as if we were to be responsible for the operating expenses of all the vessels in the fleet. We can have [inaudible] investors in our fleet on variable charters which are the most secure in terms of risk plus we are shielded from such item as [banker], crew and dry docking costs [inaudible] expenses are for the variable charters account. Our fourth goal has been to own and operate a modern fleet of gas carriers and in this respect our average age is 11.4 years not including the four product tankers and the seven brand new gas carriers that we are contracted to acquire between April this year and the end of 2011 which will only enhance our competitive position further in terms of average age compared to the industry average. The industry average is 19.4 years. It is our belief that charters particularly in these challenging economic times will increase [inaudible] for modern and efficient tonnage so the relative youth of our fleet is in my opinion important as we move forward in this uncertain period we’re all facing. Our fifth goal has been to maintain close customer relations. The quality of our customer relationships is exemplified by our continued and consistently high fleet utilization and the quality of our charters which also lowers our counterparty risk. I’m pleased to say that to date we continue not to have any issue in terms of charters performance and none of our charters have asked to renegotiate any of our charter agreements. Our sixth goal has been to maintain cost efficient operations. I’m pleased to say despite increase in crew cost at the operating level our [inaudible] breakeven decreased in Q4 ’08 to $5,121 per ship compared to $6,149 per ship in Q3 of ’08 results due not only to the previously announced write back of previously accrued cash bonuses to directors and officers in Q4 ’08 but also to a $215 per day per vessel reduction in actual operating expenses in the last quarter of ’08 over the previous quarter. The close and cost effective management of our vessels continue to be a vitally important area of operation for our company given the relatively narrow margin which these vessels produce. It is vital that we keep a very tight control over these expenses going forward as I believe we have already evidenced in Q4 ’08. Some of the cost pressures we have discussed in recent calls, particularly crew costs continue to be a factor but our prudent policy of operating a relatively high number of vessels on variable charter is helping to fuel us in some extent in this regards as these costs are born by the charter. We are slightly optimistic that if these economic conditions continue we will see stabilization of crew wages and maybe even a softening. Lastly, on March 9th we will pay our 13th consecutive quarterly dividend of [$0.1875] to shareholders of record on March 2, 2009. Slide number Three, this Slide demonstrates the development of our fleet. By the end of ’08 we had a fleet of 38 gas carriers and two product tankers, thus solidifying our number one position in the handy-size LPG carrier sector. By the end of ’09 this will increase to a total of 41 gas carriers and four product tankers as we are contracted to take delivery of these ships. StealthGas continues to solidify its number one ranking in owned vessels in the 3,000 to 8,000 CBM segment upon which we are concentrating. We continue to focus on this segment because of its strong fundamentals coupled with stable rates and a favorable order book and fleet growth compared to other size segments in the LPG sector and indeed many of the other sectors of shipping. We currently have a market share of about 14% and after the acquisitions detailed above, we expect our market share to increase to about 17% further enhancing in our view our growing position of some influence within this market. Also, we believe that our moving to the product carrier sector was and continue to be well timed and we have continued our policy of deploying the vessels on secure medium to long term charters with three of the vessels being on a variable charter basis which as previously discussed shields the company from such risk as crewing, [banking] and dry docking and of course the volatility of the spots clean tanker trades. Slide number Four, this Slide demonstrates our fleet employment profile and provides you with the earnings visibility for our 41 current ships and the two product tankers contracted to join the fleet in April and November ’09 respectively. At the bottom of the employment charter we included the percentage of voyage days fixed. These enable you to access the stability and predictability of our earnings. As you can see 65% of voyage days are already fixed for ’09 and 37 for ‘010. The percentage of voyage days currently contracted for is lower than we have seen in the past but in comparison with other shipping segments like dry bulk and containers this is still quite a healthy chartering activity and there are no more handy-size carriers which are idle. Our fleet employment strategy we have utilized since the inception of the company continues to generate stable and predictable cash flows and has enabled us to pursue our prudent but vigorous growth strategy and implement to date a sustainable dividend policy. We now turn for the financial highlights to our CFO Mr. Simmons.
Andrew J. Simmons : Please now turn to Slide number Five, we now turn to the financial highlights for the fourth quarter of 2008. With an average of 39.6 vessels owned and operated in the fourth quarter 2008 we realized net income of $7.7 million on voyage revenues of $28.2 million and produced an EBITDA of $15.9 million. For the fourth quarter ’08 we recorded a loss of interest rate swap arrangements which includes an unrealized loss of approximately $30,000 and a realized cash loss of approximately $200,000 plus a non-cash provision of approximately $300,000 for previously granted restrictive stock portion of stock-based compensation of the company’s directors and certain key employees of our management company Stealth Maritime Corp. Excluding these non-cash items, net income would have been $8 million. Our earnings per share for the fourth quarter ’08 were $0.35 per share calculated on 22.2 million average shares outstanding. Has Harry mentioned earlier, our net debt to capitalization stood at 40.2% at the end of Q4 ’08 and we believe that our leverage remains moderate and manageable when we take in to account our period employment coverage and in comparison generally to the majority of publically quoted shipping companies. [Inaudible] that will allow us to continue to prudently grow our fleet over the next three years as has been outlined to you. Will you now please turn to Slide Six, this Slide provides you with an overview of the development of our income statement for five consecutive quarters. In comparing our results from the fourth quarter of 2007 to the fourth quarter of 2008 revenues were increased by 8%, EBITDA increased by 32.5% and net profit increased to $8 million from $7.7 million in Q4 of ’07. Fourth the fourth quarter 2008 if non-cash items were excluded then our EPS based on 22.1 million shares, average weighted shares now outstanding stood at $0.36 per share compared with $0.35 per share a year ago when some 4.2 million less weighted average shares were outstanding at that time. Now, please turn to Slide number Seven; these are our operating highlights for the last quarter of 2007 plus the four quarter of 2008. It also provides comparisons for the years 2007 and 2008. In terms of fleet base in the fourth quarter of ’08 we owned and operated an average of 39.6 vessels and achieved 99.3% fleet utilization. Total chartered days for the fleet during the fourth quarter of ’08 was 3,243 and we also had 379 total stock market days. In terms of average data results for vessel for the fourth quarter of ’08 we achieved a time charter equivalent of $8,614 per day per vessel on the adjusted basis compared to $9,284 per day per vessel in Q3 of ’08. Vessel operating expenses per day on the adjusted bases i.e. no vessels on bareboat charter were $3,724 compared $4,027 in Q3 ’08. This reduction in operating expenses is due primarily to recoveries in insurance related claims that had been previously booked as operating expenses. Plus, we instigated an even more stringent management on costs as a consequence of the overall prevailing economic conditions. Will you now please turn to Slide number Eight and Nine. These Slides provide details of our 12 month to December 31, 2008 financial highlights and a comparison to the same period in 2007. Net income for the 12 months of 2008 was $30 million, an increase of 33.3% while revenues grew by 25.1% to $112.6 million compared to revenues of $90 million and net profit of $22.5 million for the same period last year. Net income net of non-cash items and excluding the gain on the sale vessels in Q1 of ’08 was $31.7 million for fiscal ’08 compared to $26.4 million in 2007, an increase of 20%. Earnings per share for ’08 were $1.50 per share compared to $1.47 per share in 2007. However, some 4.2 million less shares were outstanding at the end of Q4 ’07 compared to the end of 2008. Please now turn to Slide number 10; as we have already discussed we continue to strive to run our fleet in a very cost effective manner concentrating extremely high on operating our ships efficiently and safely and this continues to be bore our by our very high fleet utilization percentages. We are also pleased with the growth in our operating expenses and G&A costs load in Q4 and while we expect operating costs to rise in 2009 as crewing still remains a challenge, we are hopeful that the rate of increase in operating cost will abate as the year progress again, perhaps influenced by the slowdown in the world economic situation. On a cash flow basis, our daily breakeven per vessel for the fourth quarter of 2008 was $5,051 per day if we deduct the realize loss on derivatives compared to $5,676 per day in Q3, a significant decrease due primarily to the previously discussed decreases in G&A and op ex. On a net income basis, our daily breakeven per vessel was $5,069 in Q4 of ’08 compared to $5,855 per day for the third quarter 2008 again, reflecting the decline in op ex and G&A expenses. Will you now please turn to Slide 11; this Slide is our financial calculator. Using the input given on this Slide our shareholders and investors can estimate our financial performance for 2009. This Slide provides you with the revenues we’ve already secured as of today until the end of 2009 based on contracted revenues under [inaudible] and bareboat charters. Total contracted revenues to date are $87.5 million which is 78% of total 2008 revenues. Plus we have the variable revenues to be generated by those of our vessels for days that are not yet contracted for in the remainder of 2009 and we have provided you with that number of days 5,598 as the fleet currently stands. So, you can input the rate you which to assume our average vessel not yet chartered will earn and you can calculate our projected performance for 2009. Thank you very much for you kind attention and I’ll now hand you back to Harry for some further comments.
Harry N. Vafias : Moving on to Slide 12, this Slide shows the highly volatile freight rates for very large gas carriers over the past seven years plus the freight rate for middle sized and large sized gas carriers. In comparison mid size and smaller semi [inaudible] fully pressurized vessels, our core sector have experienced a much lower [inaudible] and steady growth in freight earnings from mid ’05 onwards. However, it’s clear from this data that ours ships over the past seven years have not yet experienced the wide saturation in rates that both related and unrelated shipping sectors have seen and we are hopeful that despite the world economic outlook that these relatively non-volatile trading pattern will remain intact. We continue to expect that the supply of product will increase in the supply of product will increase in the next two to three years plus, demand is expected to continue to be buoyant particularly in the Far East and development world. Therefore, we continue to believe that the outlook for our core sector is encouraging and thus we will continue with the development of our fleet to take advantage of this expected outlook as it materializes. Slide 13, this Slide indicates the freight rate evolution for 12 month [inaudible] charters for our market. The figures are based on independent estimates by [Lawrence & Stomaco]. As you can see highlighted in yellow, this segment is characterized by relative stability and rates have been steady over the past two quarters and the independent forecast for the fourth quarter of ’08 is that rates will remain steady for the 3,200 semi [inaudible] segment and will drop a bit slightly for the 3,500 CBM fully pressurized ships. Slide 14 and Slide 15, we continue to believe that the forecasted minimum ship growth for the handy-size LPG sector in the year 2010 and the negative fleet growth in 2011 at the time when several large scale L&G products come on stream gives a defined and positive outlook for our core sector raising expectation to the supply of LPG product that must be shipped at this time will increase. We continue to believe that this supply demand access is a virtually unique situation within the shipping industry particularly given the conditions being felt by many of the other sectors of shipping today that are overbuilt. This important factor has led us to continue to moderately expand the company with these contracted new buildings thus positioning ourselves to take advantage of the expected positive market conditions in the years to come. Don’t forget that from any valuation metric we are one of the cheapest publically traded companies trading at about one-third of our NAV and three times earnings. We have now actually reached the end of our presentation and we would like to open the floor to your questions. Operator, please open the floor.
Operator: (Operator Instructions) Your first question comes from Natasha Boyden – Cantor Fitzgerald.
Natasha Boyden – Cantor Fitzgerald: You’ve mentioned that asset values have held up better in the gas carrier markets than other shipping sectors. Can you provide any details, perhaps as a percentage if you have it regarding how asset values have declined in your sector? Then furthermore, have you seen any more [S&P] activity of the LPG carrier market at all?
Harry N. Vafias : From our last call till today two ships have been sold, I mean modern vessels of course we’re not talking about 20 or 25 year old vessels that have gone to scrap. One was well above the [inaudible] and the other was below the [inaudible] so we cannot really comment on their values because the activity has been virtually non-existent.
Natasha Boyden – Cantor Fitzgerald: Given this I suppose what is your strategy going forward? Clearly then I suppose you’d still be focused on product carriers if you’re looking at acquisitions? Would that be fair to say?
Harry N. Vafias : We’re not looking to acquire anything. We have a huge fleet including our new buildings. As you know, it’s close to 50 vessels so I don’t think we need to buy anymore. We need to keep our cash for bargains let’s say, if we can find some. But, at today’s circumstances the gas carriers, since their values have not dropped are not bargains so if I had to buy something then it of course would have been a tanker.
Natasha Boyden – Cantor Fitzgerald: Then in terms of the new builds that you have, are they on track to be delivered on time? Do you see any possibility of early or delayed deliveries at all right now?
Harry N. Vafias : Japanese shipyards, as you know very well, 99% of cases deliver vessels early. So, at this stage we don’t foresee any delays.
Natasha Boyden – Cantor Fitzgerald: Then just more of a macro question, I think there was an article recently that the European LPG coastal trade for the smaller carriers was extremely buoyant. Can you give us some more sort of color on that? What’s driving that because it doesn’t seem like the larger [LGC] market is doing that well but it seems that the smaller LPG market is acting very well especially in Europe. Can you give us some color on that?
Harry N. Vafias : Natasha, as you know very well the past few years, these small little ships have been doing much, much better than the larger ships overall. So, I don’t think what you mentioned about them is a very different case. Now, we don’t have too many spot vessels in the [inaudible] so I might not be the best man to comment on it. But, always in the winter since the sudden cold spells and most of these plants are not very well stoked, there’s a sudden needs for [inaudible] and propane and butane and these little ships since they’re very flexible as you know going basically loading and discharging directly to these plants is the best way for a plant or a factory or an energy station getting 3,000 to 7,000 pounds of these products. We have seen it last year where I remember one of our ships was earning $20,000 to $25,000 a day which is more than an [athamax] tanker was. We haven’t seen these rates for our ships yet because we do not have any too many spot but, if that continues I’m sure that some of our ships will enjoy these rates too.
Natasha Boyden – Cantor Fitzgerald: Andrew, just a very quick question for me, something just jumped out at me on your numbers for the fourth quarter, it looks like you have negative G&A this quarter. Can you just give me some clarity on that please?
Andrew J. Simmons : Yes, I mean basically as we announced I think it was back early either in this year or late last year, management and the board took a decision to not to pay bonuses for 2008. So, those bonuses to officers and directors that have been accrued in the first three quarters of 2008 were written back in the fourth quarter. Hence, the profit if you like in G&A in the fourth quarter.
Operator: Your next question comes from Charles Rupinski – Maxim Group LLC.
Charles Rupinski – Maxim Group LLC: I just had a quick question, you really addressed this mainly about vessel acquisitions but if you were not looking at LPG you mentioned that you might look at a tanker if the price was right, just looking over the next year and seeing what asset values have done is tankers really the only space potentially that you would consider or would you even cast a wider net on different vessel types?
Harry N. Vafias : Good question. As you know very well the private group that controls StealthGas has shipping involvement in all kinds of sectors crude, clean, dry so I don’t think we would be let’s say pressured to invest only in gas or clean. We are a publically [traded] company managing money for our shareholders so for example if it was a fantastic bargain in dry, we might look at it. Or, there might be a fantastic opportunity in chemical tankers, I don’t know. But, at the moment we are not looking at anything because we think that the values, especially in the segments I mentioned will drop further so it’s too early to discuss that.
Operator: Your next question comes from [Matt Bebe – Morgan Keegan].
[Matt Bebe – Morgan Keegan]: I was curious, I think it’s the Catterick and the Zael roll of their current contracts I believe next month. I think you have a few more that roll off in Q2, I was just curious about the discussions regarding putting those to longer term contracts or putting those in to the spot market. Could you guys talk about that?
Harry N. Vafias : Yes, basically it’s up to us I guess. The charters want to do a short time charter period for the vessels at quite an attractive, for them, rates. We want to do a longer period charters with higher rates of course. Or, we won’t bow to the pressure and play them spot which we have done a lot in the past anyway. So, it all depends on how the negotiations go. If we don’t get numbers we want there’s no need to accept a low rate, we can play them spot and when they really feel a need to use the vessels we can corner them a bit and get close to the number we want.
[Matt Bebe – Morgan Keegan]: So you’re comfortable in the spot market or under term?
Harry N. Vafias : Every year we have four or five ships spot so having seven or eight out of the total of 42 I don’t think makes a big difference.
[Matt Bebe – Morgan Keegan]: Then you guys have the several deliveries this year, can you kind of remind us about the balances outstanding that you’re going to have as payments and what kind of debt you’re looking at maybe adding for 2009?
Harry N. Vafias : We don’t have so many buildings this year, it’s two vessels, two gas carriers in ’09 and two product carriers in ’09. Don’t forget that we have already paid for the product tankers 10% deposits so that’s already done a long time ago. For the LPG new buildings we have paid close to 20% because they are new building contracts and we have to pay stage payments. The finance is between 65% and 70% so there’s actually very little equity remaining to be paid.
[Matt Bebe – Morgan Keegan]: So you’re taking about 65% to 70% of the remaining balance?
Harry N. Vafias : No. 65% to 70% of the total purchase price.
Operator: Your next question comes from Daniel Burke – Johnson Rice.
Daniel Burke – Johnson Rice: You touched on it earlier on the call when you said you were going to hold your cash for potential bargains but could you more broadly address, and I think you addressed it on the last call and I’m sure on the next you will as well, how you think more broadly about cash deployment here? You know encouraging the sea, of course the announcement of the dividend for the first quarter, could you kind of take back through how you think about priorities for your cash? We’ve seen a lot of dividends go away and yours haven’t. Then, maybe expand on that and talk about how attractive ships look relative to your own equity.
Harry N. Vafias : We were very happy that when we did our follow on road show in the summer of ’07 everybody was – the majority of the investors where a bit snobby saying why should we buy StealthGas stock, we can buy a dry bulk stock or a container stock and make more money or make bigger dividends, I have to say that after today’s announcement in this very, very difficult last five or six months not only did we announce record results but we also kept our dividend in tact which as you know very well, many other dry, or wet, or container companies are chopping or completely eliminating. So, that speaks for itself. Now, about the cash, we never know what the future holds. We don’t know this crisis for how long it will last, we’ve discussed that before so we don’t want to start buying back stock because we don’t think we are at the end of the tunnel. I think we are maybe even before the middle of the tunnel. We have to be very, very careful because if that continues for longer than expected we need to have the cash to hold on and take care of all these ships we have and all these new buildings joining the fleet from this year until 2011.
Daniel Burke – Johnson Rice: Then maybe one more specifically for Andrew, we also peripherally addressed the capital commitments you currently face but I don’t know if Andrew would have available maybe the latest update on what the absolute cap ex figures are for ’09, ’10 and ’11? And, maybe where you see your current net debt to cap sort of peaking out?
Harry N. Vafias : We cannot comment on that because some of the finance for the future and new buildings have not been finalized so we don’t know what the actual commitment for the company will be. The prices for the ships you know them, you know the approximate amount of finance the banks are giving today so it’s not difficult to calculate about what the equity would be from our side.
Operator: Your next question comes from Jeff Geygan – Milwaukee Private Wealth Management.
Jeff Geygan – Milwaukee Private Wealth Management: Regarding your contracted ’09 revenue or percent utilization at 65% or $87 million, what is your expectation for how this year will play out in terms of utilization?
Harry N. Vafias : It’s not $65 million, it’s 67% of the base.
Jeff Geygan – Milwaukee Private Wealth Management: What’s your expectation?
Harry N. Vafias : I cannot really know that. If I knew that I would Bill Gates, I wouldn’t be Harry Vafias. But, I think that as always in the gas segment which is very, very stable in comparison with as we discussed the other segments, there’s always a firming in rates between end November and let’s say end of March and then closer to the summer there’s always a softening which lasts until again September/October time. So, I think it will be one of the same with maybe bigger spikes because some of the [inaudible] have problems getting their hands on cargos because the banks as you know very well are not giving credit letters as easily as they were doing before.
Jeff Geygan – Milwaukee Private Wealth Management: I appreciate that but Harry you’ve got seven vessels, judging by this table here that have charter expirations in February or March what is your expectation today about the use of those vessels? Are you going to be seven vessels short or are those in part or entirely rebooked?
Harry N. Vafias : I think you’re a bit confused. Having a vessel finish its contract doesn’t mean it’s going to be idle. It means it’s going to employed in the sport market doing short voyages in one or two different trading areas. That is what I answered five minutes ago to the other gentlemen. We said, if we see that the charters of these vessels want to extend the charter arrangement and the money, the offer, is too low for us then we’re not going to budge we’re going to have the vessels play the spot market until we get a longer contract or a higher rate than the one that is being offered today.
Jeff Geygan – Milwaukee Private Wealth Management: This question may have been asked too about your dividend but there was some discussion about suspending the dividend to buy stock and by your own admission the shares are trading at a third of NAV and three times earnings, is there no way you’d budge on that and opt to buying your stock?
Harry N. Vafias : If we stopped the dividend the dividend will go to $3 and if it goes to $3 that means we’re going to be the cheapest profitable publically trading company that has not breached its covenants with the bank and therefore any man with money and a big of IQ will come and do a hostile takeover of us. So, we have to be very careful how and when we touch the dividend.
Jeff Geygan – Milwaukee Private Wealth Management: You’re making an assumption that if you cut the dividend the stock will go to $3. I’m not sure that’s a completely rational conclusion but fair enough.
Harry N. Vafias : My brief experience in the last five months from other publically listed companies that have either reduced or completely eliminated the dividend is that we have seen huge erosions in share price.
Jeff Geygan – Milwaukee Private Wealth Management: If they were profitable at the time and I’m not sure they all were.
Harry N. Vafias : Correct.
Operator: There are no further questions at this time gentlemen so I would like to turn the call back over to you for any additional or closing remarks.
Harry N. Vafias : Thank you all for participating and joining our conference call today and for your interest and trust in our company. We look forward to having you with us again at the next conference call for our first quarter ’09 results. Thank you very much.
Operator: That will conclude today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.